Operator: Thank you for standing by, and welcome to the Interface, Inc. First Quarter 2025 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I’d now like to turn the call over to Christine Needles, Global Communications. You may now begin.
Christine Needles: Good morning, and welcome to Interface’s conference call regarding first quarter results hosted by Laurel Hurd, CEO; and Bruce Hausmann, CFO. During today’s conference call, any management comments regarding Interface’s business, which are not historical information, are forward-looking statements within the meaning of federal securities laws. Forward-looking statements include statements regarding the intent, belief or current expectations of our management team as well as the assumptions on which such statements are based. Any forward-looking statements are not guarantees of future performance and involve a number of risks and uncertainties that could cause actual results to differ materially from any such statements, including risks and uncertainties described in our most recent annual report on Form 10-K filed with the SEC. The company assumes no responsibility to update forward-looking statements. Management’s remarks during this call also refer to certain non-GAAP measures. Reconciliations of the non-GAAP measures to the most comparable GAAP measures and explanations for their use are contained in the company’s earnings release and Form 8-K furnished with the SEC today. Lastly, this call is being recorded and broadcasted for Interface. It contains copyrighted material and may not be rerecorded or rebroadcasted without Interface’s expressed permission. Your participation on the call confirms your consent to the company’s taping and broadcasting of it. After our prepared remarks, we will open up the call for questions. Now I will turn the call over to Laurel Hurd, CEO.
Laurel Hurd: Thank you, Christine, and good morning everyone. Interface delivered a solid start to 2025 with 4% year-over-year currency neutral growth in net sales, 4% growth in adjusted earnings per share and strong momentum going into the second quarter. Amid an uncertain and dynamic macro environment, I’m proud of our accomplishments this quarter, the disciplined execution of our global teams and the passion that our team members bring every day to serve our customers. Our One Interface strategy is working and it continues to position us for long-term growth and success as we are still in early days of activation. As mentioned previously, One Interface is a multi-year strategy focused on building strong global functions to support our world-class selling teams, accelerating growth through enhanced productivity of our commercial team, expanding margins through global supply chain management and simplifying operations and leading in design, performance and sustainability. In the first quarter, we appointed our first VP of Global Product Category Management. This role is an important addition to the organization that will work cross functionally to accelerate and optimize our product innovation pipeline, ensuring we deliver world-class products that meet the commercial needs of the markets we serve, while always embodying the essence of Interface. This new position will build our product portfolio with the customer at the center and prioritize category investments that will ensure our portfolio is aligned with the needs of the market as we focus on accelerating growth. On the product front, in Q1 we launched two carpet tile collections that expand on our i2 portfolio, Material Impressions and Open Road. We first introduced i2 with the launch of our popular Entropy product 25 years ago. It was a first in the industry representing a major mindset shift in carpet tile design. i2 styles are truly modular with mergeable dye lots and random installations. They continue to be a favorite of our customers because they’re incredibly flexible and adaptable over time. We continue to expand this portfolio to offer even more design options especially to suit the needs of our education and corporate office spaces. We also look forward to Clerkenwell Design Week in May and NeoCon in June, where we will showcase our latest global carpet tile and LVT collections as well as our innovative carbon negative nora rubber prototype and other new products. These events provide excellent opportunities to connect with our customers and industry partners and to demonstrate our design, performance and sustainability leadership. Turning to sustainability true to our roots, Interface continues to be at the forefront of innovation. We’ve made strides towards achieving our science-based targets by 2030 and being carbon negative by 2040. As part of this journey, we recently announced a strategic investment to incorporate captured carbon into our manufacturing processes in the U.S. and Europe. This raw material stores more carbon and lowers the carbon footprint of our carpet tile products without compromising on design and at no additional cost to our customers. This is a notable example of our sustainability leadership as we continue to innovate and activate tangible solutions that drive carbon reduction and storage while also helping customers meet their own sustainability commitments. Now let’s turn to our first quarter results. We delivered a solid start to the year with year-over-year currency neutral net sales growth of 4%. Strong momentum continued in the Americas where net sales grew 6% and currency neutral orders were up 10%, partially offset by a softer macro environment and EAAA. Turning to our market segments, our diversification strategy continues to drive growth. Global education billings were up 13% as Interface stands out in both K-12 and higher education due to our reputation for design leadership and sustainable, durable, high performing solutions across a broad portfolio of products. Our education segment is supported by strong macro drivers, modernization initiatives and regional migration. We also continue to broaden our addressable market with expanded collections and accessible price points. In health care, global billings were up 16% year-over-year as our strong healthcare orders from prior quarters converted to billings. Our differentiated portfolio continues to meet the evolving needs of aging populations, technological advancements and a growing emphasis on preventative care. In this expanding market, our U.S. selling teams are gaining traction and uncovering new opportunities to deliver comprehensive solutions to healthcare systems. Corporate office billings were down 7% year-over-year in the quarter. We view this as timing as we are expecting growth in office for the full year. We are still seeing momentum with the continued flight to quality in Class A space where we’re well positioned to win. Companies also continue to refresh their spaces to adapt to the changing needs of their teams as more employees return to the office. We expect these trends to continue throughout the year creating more opportunities for us in this segment. Turning to orders, in the first quarter of 2025, consolidated currency neutral orders increased 3% year-over-year. Currency neutral orders in the Americas were up 10% year-over-year driven by the success of our One Interface strategy and combined selling teams. In EAAA first quarter currency-neutral orders were down 6% year-over-year on a softer macro environment. Our backlog was strong at the end of the first quarter, up 12% year-over-year, which gives us confidence that our strategy is working and positions us well for the coming quarters. Before I turn the call over to Bruce, I want to take a moment to discuss the current global market dynamics and tariff environment. We benefit by having local carpet tile manufacturing in each of our regions, which limits our exposure to the recently announced tariffs to primarily U.S. imports of nora rubber from Germany and LVT from South Korea. This represents approximately 15% of our global product costs that will be impacted by the recent tariff announcements. We have plans in place to offset this impact through incremental pricing and productivity, which has been baked into our guidance. This is obviously a dynamic environment which we continue to monitor and respond as necessary to offset tariff related costs, grow our business and serve our customers. With that, I will turn it over to Bruce to go over the financials. Bruce?
Bruce Hausmann: Well, thank you, Laurel. And good morning everyone. First quarter net sales totaled $297.4 million, an increase of 2.6% versus first quarter of 2024 and slightly better than anticipated. FX neutral net sales increased 4.1% compared to the prior year’s first quarter and first quarter FX neutral net sales were up 6.3% in Americas and up 1% in EAAA year-over-year. First quarter adjusted gross profit margin was 37.7%, a decrease of 82 basis points from the prior year’s first quarter as expected due to higher manufacturing costs on EAAA and higher freight costs partially offset by higher pricing. Adjusted SG&A expenses were $86.8 million in the first quarter compared to $86.2 million in the first quarter of 2024. First quarter adjusted operating income was $25.5 million flat compared to the adjusted operating income in the first quarter of 2024. First quarter adjusted EPS is $0.25 versus $0.24 in the first quarter of 2024. First quarter adjusted EBITDA was $37 million versus $38.8 million in the first quarter of 2024. We generated $11.7 million of cash from operating activities in the first quarter of 2025, which was a positive outcome as we customarily had the largest use of cash from operations in the first quarter. And liquidity was strong at the end of the quarter totaling $397.2 million. Net debt or total debt minus cash on hand was $205.1 million at the end of the quarter. Our net leverage ratio was 1.1 times calculated as net debt divided by the last 12 months of adjusted EBITDA. Our balance sheet remains strong which provides optionality, flexibility and strength in today’s dynamic macro environment. Our focus in 2025 is to continue investing strategically in the business while maintaining a disciplined capital allocation approach to drive long-term value. Capital expenditures were $7.5 million in the first quarter of 2025 compared to $4 million in 2024. And turning to our outlook, we are forecasting a strong second quarter. We remain focused on delivering a strong year amid a dynamic macro environment with increased global macro uncertainty. We entered the second quarter with a healthy backlog and order momentum which supports our expectations for a strong second quarter. With that backdrop in mind, we anticipate the following: for the second quarter of fiscal 2025, we anticipate net sales of $355 million to $365 million; adjusted gross profit margin of approximately 37.2% of net sales; adjusted SG&A expenses of approximately $90 million; adjusted interest and other expenses of approximately $6 million; an adjusted effective income tax rate of approximately 27.5% and fully diluted weighted average share count of approximately 59.3 million shares. And for the full fiscal year of 2025, we anticipate the following: Net sales of $1.340 billion to $1.365 billion, adjusted gross profit margin of approximately 37.2% to 37.4% of net sales, adjusted SG&A expenses of approximately 26% of net sales, adjusted interest in other expenses of approximately $24 million, an adjusted effective income tax rate of approximately 27% and capital expenditures of approximately $45 million. With that, I’ll turn the call back to Laurel for closing remarks.
Laurel Hurd: Thank you, Bruce. Thank you all for joining our call today. Interface delivered a solid start to the year and we are encouraged by the continued momentum as we enter the second quarter. While there is considerable uncertainty in the global economy, we are well-positioned with a strong balance sheet, a regional carpet tile manufacturing approach and a global team that is more connected than ever. I would like to thank the entire Interface team for their disciplined execution, commitment, and passion to serving our customers each and every day. With that, I’ll open it up to questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Brian Biros from Thompson Research Group. Your line is open.
Brian Biros: Hey, good morning. Thank you for taking my question. Q1 results…
Bruce Hausmann: Good morning, Brian.
Brian Biros: Good morning. Q1 results slightly better than expected, I think notably on the gross margin and SG&A line both slightly better than guidance. I assume part of that is the success of the One Interface strategy pan off, please expand more on how those two items kind of performed in the quarter to come in ahead of expectations.
Laurel Hurd: Sure, Brian. Our – I feel like we had a really good start to the quarter as you said to the year, and our One Interface strategy continues to deliver results. We had a really strong Americas business. That business continues to grow due to the combined selling teams. A couple things I’ll note from a growth standpoint all product categories grew for us in the quarter globally. So carpet tile, LVT and rubber and they grew in volume as well as a little bit in price, mostly volume, a little bit price. And then the success we’re seeing in healthcare and education growing double-digits globally. We’ve been really focused on diversifying our business and we’re seeing the success pay out in those areas.
Bruce Hausmann: I would just add too. We just can – we continue to see momentum as we move into second quarter. The orders continue to be strong, our backlog continues to be up and great momentum in the business as we’re moving through Q2.
Laurel Hurd: I’ll piggyback on that for a second. And what we didn’t mention is that our momentum really strengthened throughout the quarter from an order generation perspective. And the month of April, our orders are up double-digits globally, up double-digits in the Americas and up double-digits in EAAA. So we feel like we’ve got a really solid growth plan.
Brian Biros: That sounds pretty good. And I guess, a good segue to my next question on guidance. Just raised a little bit on the lower end, was just wondering what the driver of that was, if it was kind of just FX or if it was confidence in the visibility here given Q1 and Q2, it sounds like it’s more like that. So maybe just some comments on guidance given the strength you’re seeing. Thank you.
Bruce Hausmann: I’m sorry, Brian. We couldn’t hear the word that you used. Something is on the lower end. We didn’t catch that word.
Brian Biros: I think guidance was – revenue guidance was raised on the lower end from $1.315 billion to $1.34 billion. Yes.
Laurel Hurd: Yes, yes.
Bruce Hausmann: Yes, yes.
Laurel Hurd: Yes. So that’s a great question. So we brought up the lower end of the range and that really has to do with how we landed Q1 and our outlook for Q2. So as we said, we’re guiding for a really strong Q2 and we feel like we’ve got strong order growth, up 3% globally in Q1, our backlog strong and a strong month for April. So order growth for April. So that gave us the confidence to take up the lower end of the guide.
Brian Biros: Great. I’ll pass along. Thank you.
Laurel Hurd: Thanks.
Operator: Your next question comes from a line of Alex Paris from Barrington Research. Your line is open.
Alex Paris: Hi guys, thanks for taking my questions. I wanted to ask a question about geographic growth. So in the Americas, we were up 6.4%, currency neutral, net sales. And in EAAA, we were up 1.1% on the same basis. I was wondering, can you unpack EMEA and APAC how they did? And I’m particularly interested in China.
Bruce Hausmann: Yes. Alex, it was – we had a good result there in local currency, obviously the currency gave us a little bit of a headwind in the quarter, hence the difference between FX neutral and as reported growth. Asia-PAC was – Asia in particular was a strong quarter. It was up double digits. So we saw some really nice growth there. In Europe, it was a little softer. And in Australia, it was a little softer. So it was a decent mix of business, but with Asia particularly strong.
Alex Paris: And were you referring to currency neutral or reported debt sales?
Bruce Hausmann: I’m referring to currency. Yes. Yes. As you know, the currency gyrated a lot in Q1 month-to-month. And so – and that’s how we like to look at the business – to look at the underlying and intrinsic growth rates of the business.
Alex Paris: Okay. So on a currency neutral basis, sales were up double digits in APAC or was that bookings?
Bruce Hausmann: Sales and Billings were…
Alex Paris: Great.
Bruce Hausmann: In Asia – when we talk about Asia Pac, we normally say, Asia plus Australia. So they were up in Asia double digits.
Alex Paris: Got you. Thank you. And then I was going to ask you about government also. I know that’s a small part of the business, 3% or 4% or so. You’re working with all types of government buildings, museums, military, et cetera, both local and at the federal level. And I’m just wondering what the pushes and the pulls are in there, return to office, layoffs, DOGE. There’s both a risk and opportunity in there, I think.
Laurel Hurd: I agree, Alex. And I’ll tell you what we saw, it is exactly as you said, it’s really a mix of return to work mandates offset by staff reductions. And with that comes a lot of churn. And as you said, also our public building, our government business is a small percentage of our total. It actually was up in Q1 and we’re seeing some strength there as well. So there’s a lot of activity. The net is, it’s small and it’s holding steady. It was up in Q1.
Alex Paris: Got you. I asked the question only because you covered tariffs in the prepared remarks that I thought that that could be a potential area of risk. But as I thought about it, opportunity given the churn likelihood.
Laurel Hurd: That’s right. That’s right.
Alex Paris: Good. And then the last question for me is balance sheet. Given where debt stands today and where the leverage ratio is 1.1 times, it looks like you paid off the vast majority of the variable rate debt and all we have left is the 5.5% senior notes due 2028. Wondering if you are contemplating any changes to capital allocation going forward as such.
Bruce Hausmann: Yes. I agree, Alex. The balance sheet is strong. And I would just say, with this all the macro uncertainty right now, it’s a great time to be in that situation. It puts us in a position of strength. For this year, our number one capital allocation priority is to invest in the business and to execute flawlessly on those investments, so that they yield their intended return. And you might remember we’re investing in some plant equipment that’s going to help us drive some margin expansion and we’re making some investments in our selling organization to drive growth. And so for this year, that’s really where our primary focus is.
Alex Paris: Great. And then I just want to add one on back to the tariffs as I think about it. You said basically the exposure is fairly limited. nora in Germany and LTV from South Korea, it’s about 15% of your total global cost. Is that what you said?
Bruce Hausmann: Yes, it’s fairly minimal. It’s less than 15% of our product cost. And if you sort of size that, it’s roughly $10 million to $15 million of expense annualized. And again, we are planning to offset that through pricing and productivity. And you got it exactly right. Our primary exposure is rubber imported from Germany into the U.S. and LVT imported from South Korea into the U.S. And again, we have plans in place to offset these fairly minimal tariff related costs.
Alex Paris : And I think you said, those plans are reflected in your guidance.
Bruce Hausmann: They are. One thing I should also add, we benefit by manufacturing carpet tile locally and we source most of our raw materials locally. So we – despite all the noise that we’re all reading in the newspapers, we feel really good, like we’re in a good position competitively and to manage through the terror situation.
Alex Paris: Excellent, thanks. That’ll do it for me for now.
Laurel Hurd: Thanks, Alex.
Operator: [Operator Instructions] Your next question comes from the line of David MacGregor from Longbow Research. Your line is open.
David MacGregor: Good morning, everyone. Thanks for taking the questions. If I could just pick up on – hey, good morning, Laurel. If I could just pick up on the last topic of tariffs. Bruce, you talked about $10 million to $15 million annualized. Is there perhaps some timing concern or timing mismatch in 2Q as the expense kicks in immediately, but maybe there’s a little bit of a delay in the ramping of the pricing and productivity as an offset?
Laurel Hurd: Yes, I’ll take that and then you can follow it up. From a pricing standpoint, the thing that works so well in our America’s organization is that we’ve got a commission-based selling team, and when we put that price in the market, it hits pretty quick. We also have inventory in house that is not impacted by tariffs. So we feel pretty good that the timing should flow, when we’re working to add inventory when those new orders will come in.
Bruce Hausmann: I think there’s going to be a good math timing of the cost versus the revenue and the incremental pricing and productivity to offset the costs.
David MacGregor: I’m sorry, Bruce, you cut out there just at the beginning. If I could trouble you to repeat that.
Bruce Hausmann: Yes. I think the timing will be pretty in-sync between covering the costs and when we have mitigation plans in place to cover those costs through pricing and productivity. Pretty good lineup on the timing.
David MacGregor: Thanks for that. Got it. And on inventory, I noticed on the increase, how much of the increase was seasonal versus pre-buy ahead of tariffs versus maybe some of the investments in education and health care? Just trying to understand that increase.
Bruce Hausmann: Yes. I love that you’re looking at the balance sheet. Very, very little pre-buying due to tariffs. It’s really just seasonal, you might remember that we often build a little inventory around this time of year, is because we’re getting ready for a strong Q2, around education as well as [indiscernible].
David MacGregor: Okay. Hey, Bruce, you’re fading away again, but I think I got the gist of the answer. Laurel, global product category management, could you just talk about how you’re thinking about the incremental benefits of bringing that position into play? And also from a timing standpoint, is this somewhat of a longer term incremental benefit? Or do we expect to see something a little more immediate?
Laurel Hurd: Yes. Great question. And I would say that adding this role is, it’s an important step in our, one interface journey, and we’re really working to accelerate and optimize our innovation funnel to focus on driving growth across our categories. The more we work as one team around the globe, the more we’re uncovering opportunities to better service our customer from a product perspective. So we felt the need to, really add this role to help us amplify that. And innovation takes time. So this is not something you’re going to see read through in the next couple of quarters, but it’s something that we think will really help us accelerate our growth over the long-term, it’s exciting.
David MacGregor: Okay. And it brings to mind that you more recently added resources within your procurement organization. Can you just talk about the extent to which you think that is contributing to gross margins now and how long it took to get a payback on that?
Laurel Hurd: Yes. So we have our Chief Supply Chain Officer who’s really globalizing not just procurement, but also things like our productivity initiatives and automation and robotics and looking at that from a global lens. So we’re seeing some nice benefits of that paying off. So an example of that, the robotics and automation that we put into our carpet tile manufacturing in the U.S., we’ve got great lessons from that, and we’re rolling that now to Europe as well as to Australia. So really nice look at and we wouldn’t have done that – necessarily have done that before because we’ve been much more focused regionally. So we’ve got a real strong global look across from a manufacturing standpoint. And then similarly from procurement, in these times it’s really nice to have a global lead. We have a fantastic lead who’s driving global procurement with both our strong finished goods suppliers as well as our material suppliers. So it’s been – it’s been a really, really good opportunity, and we have real confidence in the productivity funnel that we have to continue to expand our margin.
David MacGregor: Great. Last question for me. I guess, just high level question, but it came up in an earlier conversation, the whole return to the office dynamic. I think it was with respect to government. But maybe my question is in broader terms, if you could just talk about the extent to which you see that coming into play across your many verticals and what inning you think we’re in the whole return to office dynamic as a demand driver?
Laurel Hurd: It’s – it we’re still feeling like that. There’s so much churn happening. I’ll use the word churn, but there are so many people who are returning to work, and what they’re finding is that the office that they – that they entered needs updating or needs to be modernized into how we work today. There’s also the flight to quality, so people are moving into much more premium buildings, which aligns with our brand. So I’d say we’re encouraged by the opportunity to continue to help us grow for the long-term.
Bruce Hausmann: Yes. I would say hopefully you can hear me better on this microphone, David. I would say early innings on office. The momentum in office continues. All those macro dynamics that Laurel articulated are real. And again, the churn is helpful for our business. We really benefit from that, so, and that’s what we’re seeing. We’re seeing strong momentum in the business, and we’re seeing particularly a lot of strength in Americas.
David MacGregor: Great. Thanks very much and congratulations on all the progress.
Bruce Hausmann: Thank you.
Laurel Hurd: Thanks David.
Operator: And that concludes our question-and-answer session. I will now turn the call back over to Laurel for closing remarks.
Laurel Hurd: Great. Well, thanks for everyone for joining the call this morning, and thanks to the entire Interface team to a really solid start to the year and for everything that you do every day. Appreciate you all.
Operator: This concludes today’s conference call. Thank you for your participation. You may now disconnect.